Operator: Good day ladies and gentlemen. Welcome to KPN’s Fourth Quarter and Full Year 2021 Earnings Webcast and Conference Call. At this time all participants are in listen-only mode. We will be facilitating a question-and-answer session towards the end of today's prepared remarks. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the call over to your host for today Mr. Reinout van Ierschot, Head of Investor Relations. You may begin, sir.
Reinout van Ierschot: Good afternoon ladies and gentlemen and thanks for joining us. Welcome to KPN's fourth quarter and full year 2021 results webcast. With me here today are Joost Farwerck, our CEO; and Chris Figee, our CFO. As usual before turning to our presentation, I'd like to remind you of the Safe Harbor on Page 2 of the slides, which also applies to any statements made during this presentation. In particular, today's presentation may include forward-looking statements, including KPN's expectations with respect to its outlook and ambitions, which were also included in the press release published this morning. All such statements are subject to the Safe Harbor. Let me now hand over to our CEO, Joost Farwerck.
Joost Farwerck: Thank you Reinout and welcome everyone. Hope you're doing well and I hope to see you soon in-person as we gradually return to the office. And let's start with some highlights from the fourth quarter and the full year results. In 2021, we continue to make good progress against our strategic and financial ambitions. We delivered growth in mass-market service revenues, supporting overall group service revenues. SME service revenues grew for the second quarter in a row providing momentum and confidence that we can stabilize our total business segment service revenues by the end of this year. In consumer, fiber and our converge portfolio are delivering revenue growth every quarter. Mobile service revenues are growing and fixed trend is stabilizing. Wholesale continue to make a strong contribution, thanks to our successful open wholesale access policy. And as a result of all that, our EBITDA generation is becoming less dependent on just cost cutting as we are now delivering sustainable mass-market service revenue growth. We were able to grow adjusted EBITDA in 2021 supported by improving group service revenues and lower cost base. We added a record number of households to a fiber footprint in 2021 and we will at least maintain the current pace in the coming years. We were also rewarded for having the best mobile network in the Netherlands for the third time in a row. We reiterated our EBITDA free cash flow ambitions for 2023. And at the end of the presentation, Chris will give you more details on our financials and walk you through our outlook for this year. Finally, the confidence in our strategy and the successful execution enables us to pay out a progressive dividend and allows us to structurally return additional capital to our shareholders. We completed the €200 million share buyback last year, and we now intend to execute a share buyback program of €300 million in 2022. We delivered on our 2021 outlook. EBITDA came in at 2.35 billion in line with the outlook we gave at the full year 2020 results. CapEx was around 1.2 billion and free cash flow came in at 784 million slightly ahead of our outlook. We reiterate our dividend commitment and we will pay a regular dividend per share of 13.60 cents over 2021. We've made strong progress in the first year of our accelerated growth strategy. As a reminder, I give you the three key pillars of the strategy. First, leverage and expand our superior networks; second, grow and strengthen our customer base; and thirdly, continue to simplify and streamline our operating model. I will touch upon our progress on these pillars in today's presentation. So let's start with the first one. We realized the greatest ever annual fiber rollout in a Dutch market. We connected 433,000 households. And if you add the Glaspoort joint venture to this, it was over half a million homes in the Netherlands. In the meantime and visible in our homes activated, we continue to add new retail and wholesale fiber customers and we upgrade existing customers from copper to fiber. Today, we cover more than 40% of the Netherlands and jointly with Glaspoort we expect to reach approximately 80% of Dutch households by the end of 2026. And after reaching that point, CapEx will come down to a much lower sustainable level. Let's delve a little deeper into our fiber business case. First on penetration, we see a significantly higher network penetration in fiber areas over time. Typically, one year after the first connection in an area, the penetration increases by about 7 percentage points. And this at the end rises even further after seven years when our average network penetration reaches over 60% for retail and wholesale together. On ARPA, while we do not directly charge a premium for fiber, it's clear that today fiber customers on average have almost 11% higher ARPA. And that is because fiber customers buy higher excess speed levels and more value-added services such as counted packages. And as we continue to rollout fiber, we expect that the growing fiber footprint will result in an improved penetration rate for retail and wholesale. In fact, our retail fiber base is likely to surpass our copper base mid this year. Finally on spent related to fiber alongside lower maintenance and service costs we also foresee savings as we gradually shutdown our copper network in the coming years, starting early next year. All in all fiber is clearly at the heart of our strategy to create long-term value for all stakeholders. In our mobile network we have modernized over 4,000 sites to date and our 5G network already covers more than 80% of the population on 700-megahertz spectrum. We also made preparations for 3.5 gigahertz spectrum allowing for an even better 5G experience as soon as it becomes available, which is most likely to be early next year. Finally, we’re also proud to announce that Ookla named us the best mobile network with the best coverage and fastest 5G in the Netherlands for the third time in a row.  We will discuss our second performance by turning to our second pillar, enhanced customer focus. Customer satisfaction remains a top priority, and our efforts are paying off. In 2021 consumer net promoter score increased to plus 16 as we successfully invested in quality improvements and in the customer journey. The net promoter of the business segment increase to plus four, our best result ever as customers value KPN, B2B for its quality networks and quality services. We believe that customer satisfaction by the way goes hand in hand with employees’ satisfaction and as such, I'm pleased with the outcome of our employee engagement survey, which shows that 82% of our employees feel engaged at KPN despite the COVID situation. And within the market this is a top tier level of employee engagement. In the Consumer Market, we are focused on delivering the best digital access and the best customer experience. To provide the best digital access we continue our successful Super WiFi campaign in 2021. We made 1 gig proposition more accessible by lowering the price point while doubling the upload speed. We also introduced better hardware, for example, a new, more energy efficient version of the 4K set-top box. Furthermore, we successfully invested in quality improvements in the customer journey such as the introduction of our new app the MijnKPN App and the new online shop. Recently we announced extended new entertainment partnerships with Fire Play and ESPN. And earlier this year, we integrated the Microsoft Game Pass Ultimate into our offerings. And these long-term distribution partnerships across a range of products enable our customers to have access to the best content and games. This year, we achieved consistent mobile service revenue growth supported by strong customer inflow, particularly on our unlimited data proposition. We intend to broaden this trend to fix service revenues as well. The underlying trend in fixed is improving as fiber broadband service revenue growth is more than offsetting the copper decline. And combined, we are well on track to grow consumer service revenues in 2022. Now let's take a deeper look into our fourth quarter KPIs. We've seen solid fiber inflow reflected by 43,000 new customers offsetting churn in copper customers. And this led to 3,000 broadband net adds. Fixed ARPU increased 0.9 year-on-year and combined and excluding the impact of the revenue correction earlier this year, this led to stabilizing fixed service revenues in the fourth quarter. We see continued solid trends in mobile. Our postpaid base increased by 70,000 and postpaid ARPU grew almost a percentage. Combined, this led to continued growth in mobile service revenue. Let's now move to the B2B segment. At our strategy update in November 2020, we committed to stabilization of SME service revenues by the end of last year. And we delivered on this a bit ahead of the plan already last quarter. And this trend continued in fourth quarter with SME service revenues increasing almost five percentage points year-on-year. A very good improvement under the clients seen in the first half. The performance in LCE and Tailored Solutions was in line with our expectations. In SME, we have seen solid mobile and broadband based trends supported by our attractive KPN1 platform and KPN1 propositions. This also provides a strong platform to increase the density product take up by our customers, as we leverage and cross sell opportunities. This year we implemented a clear, segmented customer focus in our B2B approach with SME, LCE and tailored solutions. And the strategy of SME and LCE is pretty much aligned. But they are in a different stage of transformation. LCE is lagging SME by about one to two years. So, we're on the right track, but it will take some more time to turn LCE around. That being said, we delivered service revenue growth in SME in the second half of 2021. And this was an important milestone for us. And we are now confident that we can stabilize business service revenues by the end of this year. Wholesale showed a strong performance during 2021, supported by mobile and broadband growth, and reflecting the attractive access terms we offer to other service providers in the Netherlands. As you all know, our regulatory ACM is currently still conducting its fixed access review, and it expects to start their consultation before the end of this quarter. From our perspective we believe that we are operating in a highly competitive market where other providers continue to outperform the market in terms of subscriber growth. And with our open Wholesale access model, we guarantee sufficient room for wholesale providers to grow and to compete and still offering customers in the Dutch market, a wide variety of high-quality, affordable services. Now, finally, I will turn to sustainability. As highlighted by Chris during our virtual ESG Webinar last month, ESG is at the heart of our strategy. In 2021, we published our ambition to become net zero by 2040 and also incorporated ESG into two core financing instruments. Our commitment to sustainability is evidenced by several, important, independent ESG benchmarks. For example, in November, we were recognized as a member of the Dow Jones Sustainability World Index for the 10th year in a row. Looking back over the past 10 year, KPN is the only telco that has been mentioned every year. Now, let me hand over to Chris to give you more details on our financials.
Chris Figee: Thank you, Joost. As Joost mentioned earlier in our presentation, we delivered on our outlook for the year. And we are confident that we will continue to do so going forward. Now let me start by summarizing some key figures. First, our adjusted revenues increased by 0.3% in Q4, supported by sustainable mass market service revenue growth. Secondly, adjusted EBITDA after leases, our operating profit increased by over 4% in Q4 and 1.2% for the full year 2021, driven by service revenue growth and a lower cost base. Our EBITDA margin was up 70 basis points to 44.7%. Third, our free cash flow increase 2.5% compared to 2020 and exceeded our target due to higher EBITDA, despite higher CapEx and taxes paid. Our free cash flow margin improved 40 basis points to almost 15%. And finally, our continued focus on shareholder value creation is paying off, as evidenced by another solid improvement in ROCE, return on capital employed to 11%. The adjusted group revenues were slightly down year-on-year, but we are encouraged by the gradual improvement throughout the quarters this year. And within the mix, consumer revenues were broadly flat as growth in mobile service revenues and fiber revenues was offset by declining legacy services. Business revenues declined 4.3%, mostly driven by our LCE and Tailored Solutions performance, where SME moved to substantial and structural revenue growth. Also revenues grew by 6.3%, mainly driven by broadband and mobile. Other revenues were mainly supported by lower intercompany charges, higher non-recurring benefits related to intellectual property rights and some fiber rollout revenues. Mass market service revenues continue to grow, plus 1%, 1.5% of Q4 driven by healthy trends across all segments. Please note that the mass market service revenue growth number is negatively affected by the revenue recognition issue in last year's numbers. On an underlying basis, the growth rate was close to 2% year-on-year. There's also led to group service revenue growth, which was up 0.2% compared to the previous year. Wholesale service revenues growth was really solid at 4.7% and SME service revenues grew by 4.8% driven by continued good momentum in our basis. In consumer, mobile service revenues continue to grow and fixed fiber revenue growth is outstripping the declining copper revenue since two quarters by now. However, all-in-all, it was still offset by declining legacy services, but we're now moving to sustainable mass market service revenue growth across all segments. And within B2B, service revenues are expected to stabilize by the end of this year, and we're in the verge of sustainable top line growth for the group. The decline in total revenues was fully offset by lower indirect OpEx leading to an increase of 1.2% in our adjusted EBITDA in 2021. Full year 2021 net indirect OpEx saving amounted to €47 million supported by lower personnel and IT and TI expenses. The cost savings were relatively moderate compared to previous years, mainly due to additional cost to support revenue growth, higher employee rated provisions and less tailwind from COVID savings than in 2020. That being said, it's important to highlight that if we look through specific effects, we look through them. We see continued structural decline in our cost base and a structural increase in productivity. As evidenced by a continued decline of the number of FTEs employed at KPN. For example, our own staff base is now 4% lower than last year, while our revenues are broadly stable. For this year 2022, we expect to see roughly the same pace of cost savings as in 2021, mainly due to some additional costs to support revenue growth, inflation, and cost related to services for Glaspoort and joint venture with APG. The cost target of 250 million in the 2021 to 2023 period is expected to take a bit longer to realize as a mix of KPN’s EBITDA generation is changing. On the one hand, KPN’s revenue performance is better than expected. On the other hand, the run rate of cost savings is expected to be lower than initially anticipated in the next years. However, the changing EBITDA mix is not impacting the outlook for EBITDA growth as such in the coming years. And 2023 ambition has been reiterated. As many of the cost headwinds are actually reflections of higher revenues. Not only to CapEx as indicated, we stepped up our investments to €1.2 billion, driven by our accelerated fiber rollout. It is partly funded by continued decline in non-fiber CapEx. Fiber CapEx amounted to just over €400 billion and was up almost 40% compared to last year, representing about 8% of revenues. Non-fiber or other CapEx decline to about €800 million revenues, 15% of revenues. It's important to realize that this bucket also contains customer-driven CapEx like CEP, consumer premises equipment. If we strip out customer-driven CapEx, non-fiber CapEx is an even steeper decline. CapEx overall is expected to remain at a peak level of €1.2 billion or about 23% of sales in 2022. And within the mix, fiber is expected to rise even further to about €450 million revenues or other CapEx are expected to come down a bit further to around 14% of revenue. Customer-related CapEx may be stable or even go up, but that would be good news, as I would indicate stronger sales growth. Fiber CapEx thereafter is expected to remain stable for the 2022 to 2026 period. Our cash generation remains solid and we've been able to grow our free cash flow. With this, we outperform the outlook despite a significant step up in CapEx and taxes. The higher CapEx cost our operational free cash flow to decline, but this was counted by several other line items, more favorable developments in working capital, lower interest paid and lower cash restructuring charges. Taxes of €77 million were a bit higher than plants, but this is due to the fact that we did not able – we were not able to fully utilize the liquidation losses in 2021. As a German tax authorities have not yet concluded that 2014 tax audits. This will follow-up in 2022. And for 2022, we already have an agreement with the Dutch tax authorities on this matter. Therefore, we expect cash taxes of up to €100 million in 2022 lower than the original expectations we provided to you a year ago. In 2023, we’ll see you further step up and cash taxes to at least the original level we guided for. So effectively, we stepped our investment in fiber rollout and customer CapEx and funded these to lower mobile, IT and network CapEx, lower restructuring charges and lower cash interest paid. Working capital was no longer a drag on free cash flow. And we managed to increase our free cash flow despite the planned increase in CapEx. Our free cash flow margin improved 40 basis points to almost 15% of revenues and on a clear path to improve further in line with our guidance. We feel cash momentum is strong at our group. KPN focuses to create long-term value as evidenced by a strong return on capital employed. ROC, return on capital employed improved by 90 basis points this year to about 11%. ROC has moved up due to increased operational efficiency and a more efficient balance sheet. For the coming years, we see scope to further optimize ROC as part of our continuous pursuit to create shareholder value. We ended the year 2021 with a strong and resilient balance sheet from Q3 to Q4 net debt increased by €14 million driven by a share buyback and tax payments, partly upset by strong free cash flow generation. Year-end with a leverage ratio of 2.3 times comfortably below our ceiling of 2.5, also our interest covered ratio remains strong. Total liquidity at KPN, so that more than €2 billion and covers debt maturity for the next three years. And finally KPN issued a €700 million sustainability linked bond in November 2021. This as Joost already mentioned, underlines our commit to sustainable future and climate change mitigation by integrating our target to reduce carbon emissions across the entire value chain into a core financing instruments. Before moving to our outlook and ambitions, I would like to say word on inflation. While we do see some inflationary pressure from rising costs, we expect to be able to mitigate most of this as the majority of our revenues have some sort of CPI linked features in place. Therefore, we target no material impact on our EBITDA as lower cost savings are expected to be offset by our revenue growth. Regarding CapEx, we have limited exposure to inflating outsourced labor costs since our fiber rollout capacity has been contracted for the coming years with no linked to inflation. That set as always there may be some small downside risk to working capital from supply chain shortages, which may require us to do some additional stocking. But this already is reflected in our outlook. We keep a strict eye on CapEx to ensure it does not exceed the €1.2 billion level. In fact, if the strategic stocking requirement stays contained, we see some further upside to our free cash guidance for 2022. So bottom line KPN is well shielded against inflation and therefore not considered to be a major concern. Now listen to our outlook for 2023 and the ambitions for two – an outlook for 2022 and ambitions for 2023. For this year 2022, we expect the adjusted EBITDA after leases to come in at around €2 billion and €400 million, just over 2% growth supported by sustainable mass market service revenues growth and continued cost control. CapEx is expected to remain at a big level of €1.2 billion. And we expect free cash flow of more than €825 million, which represents an increase of at least 5%, compared to 2021. I likely to be some small movements in most FCF items, but all know the Delta free cash flow from 2022 to 2023 is likely to be very close to the increase in EBITDA. We expect to pay a regular dividend of €14.03 per share of 2022, a 5% increase. And finally, we reiterate our EBITDA and free cash flow ambitions for 2023, as outlined at the strategy updates. For CapEx, we expect to remain at the upper end of our initial guidance are €1.2 billion. The execution of our strategy is on track. We are focused to deliver long-term value to all our stakeholders. At a half year result, we already indicated that we were confident that a progressive dividend policy could be complemented by structural incremental capital returns. And we are committed to return excess cash to a shareholders going forward. In 2021, we completed the first €200 million lack of a share buyback program. The almost €747 million repurchase shares will be canceled this week. For 2022, we intend to execute a share buyback program of €300 million. This means it will distribute more than €850 million to our shareholders in 2022, which represents a yield of about 7% at today’s share price. So, to summarize, today’s results are an important proof point of the success of our strategy. We delivered on a 2021 outlook show an improving revenue trend, growing EBITDA and growing free cash flow. We see sustainable trend for mass market service revenue growth with positive signs in consumer, SME, and wholesale. With this KPN has now put itself on a clear path towards growing revenues, growing EBITDA and growing free cash flow and notably also growing shareholder returns. Thank you for listening. Now, let’s turn to your questions.
Reinout van Ierschot: Thank you. And I would like to ask you to limit your questions to two each. Operator, over to you.
Operator: Thank you, sir. [Operator Instructions] Our first question is from Andrew Lee of Goldman Sachs. Go ahead sir, your line is on.
Andrew Lee: Thanks. Good afternoon, everyone. I had a couple of questions on the line by the way. Hopefully, it’s better for you. I had a couple of questions on revenue growth. So just firstly on the B2B revenue growth stabilization, there’s a little bit of a deterioration in your LCE revenue growth in the quarter. What – but we’re pretty close to that point of stabilization that you’re guiding to now. So what exactly are you seeing and what’s giving you the confidence that will materialize by the end of the year? Then onto consumer revenue growth, you’ve described sustainable mass-market service revenue growth in the slide of the presentation. Is consumer side sustainable or is there actually upselling that can accelerate that growth? And what exactly are factoring into your guidance to 2023 given you’ve lowered your cost cutting, but kept the EBITDA guidance the same. Thank you.
Joost Farwerck: Yeah. So on the B2B most important milestone for us was to turnaround SME, not only because we were far on the roads by migrating our customers to the new environment, but also because SME represents most important part of the B2B EBITDA that we succeeded in. And we’re doing exactly the same one LCE. I mean, we started later. It’s a bit more complex market as well, larger customers, not that easy to migrate. But having said that, we’ve done approximately 80% of all the migrations and we know it works. So after we migrated 95% of the whole base, we expect that revenue to inflect and grow exactly like we did in SME. So the whole idea is the same. We only follow SME a year, maybe two year later, but all in all, we expect that the total B2B service revenue end of this year is bottoming out and starting to grow in a total. And that is because we’re very sure because of the program we have in place on our B2B business. Consumer, of course, also a good trend, especially in mobile. The growth is now in a couple of quarters in a row in the base and in the ARPU, which is reflected in service revenue. And we also see the trend improving on broadband. That’s very important, only slide growth last quarter. So it’s not enough, but the trend again is moving in the right direction. And also there, we see ARPA improving by the move to fiber. And this year, we will cross the level of fiber base compared to copper based customers. So all in all, we expect that to work in a positive way as well.
Andrew Lee: Thanks. And then just the sustainable mass-market service revenue growth guidance, not a little conservative given what you just laid out. And then what exactly are you anticipating within your 2023 guidance, just in terms of the balance between the revenue growth and the cost cuing even you’ve lowered that cost cuing or extended the timeframe for the cost cutting.
Joost Farwerck: Yeah. When you look at the underlying, where could mass-market service revenue grow? We think it could go to 2% per year. We’ll be there in Q1, but that will be a bit flattered because of the comparison to last year, when we had the revenue correction. So the base year-on-year comparison will look good on Q1. I think Q1 could become around 2% underlying, it’s going to be a bit less, but I think gradually we should be able to move our mass-market service revenues to 1.5% to 2% growth year-on-year. As that reporter will be around 2% in Q1 underlying a bit less, but I think we should move there gradually over time. We’re encouraged by the early signs of the broadband based developing, encouraged by the signs that fiber, the higher speeds are becoming more and more bought by customers, when you look at fiber sales. At the same time, we’ve got to deal with some legacy that’s in decline. If you look at what happened in consumer, mostly the legacy decline, quarter decline in service revenues. And for 2023, if I add it all up, we think mass-market service revenue will between 1.5% to 2% growth stabilization of B2B service revenues, cost cutting at least €50 million, I think is the current trend and summarizing direct cost as might possibly the cost of content and direct consumer equipment go up a bit. That together drives the base assumption for 2023, we want to reiterate our outlook for a year. Hope, that gives you some more color.
Andrew Lee: Yes, really helpful. Thank you very much.
Operator: Our following question is from Mr. Luigi Minerva of HSBC. Go ahead, please.
Luigi Minerva: Yes. Thank you. Thanks for taking my questions. The first one is on Page 8 of your presentation. I think the chart on the upper left side is very interesting. It looks like you are projecting a significant increase in your network reach up to exceeding 60% in year seven. I’m wondering if this means essentially a significant market share gain and how do you expect your competitors to react? Or in other words, whether this may trigger a tough pricing reaction from your competitors? And secondly, thanks for giving us an update on the timing on the ACM review. And I was wondering if you know why it is taking so much longer? And yes, what is your base case, whether you think that essentially the right incentives to protect your fiber deployment will still be there in the new regulatory framework? Thank you.
Joost Farwerck: Yes. So first on the picture on Slide 8. What we show you there is based on our experience how we see our penetration rates improving over time rolling out fiber in areas, which is also including wholesale. So the 60% we show there is our retail performance, including what other service providers like T-Mobile for instance are doing on our network. And we have a wholesale retail strategy. It’s always a balanced strategy, and we believe that by that we can leverage our network value best. But of course, it’s always interesting to see what happens in the market. And that is in this year one, year seven, and above that framework, you see, for instance, auto service providers on our network growing faster net then we do, we migrate a lot of our customers to fiber. And of course, see also new inflow of new customers on our fiber network, but we also see a decent grow from other players, and we did not decide to start a price fight on that. So we think there’s room for a lot of players on our network and that fits our strategy. We – I think for this year should pick more or less in growth, our fair share from the markets. And we understand that we should not push the market to a limit because this way, we think we create most value. On ACM, yes, regulated after a debate with our regulator. So we think we have a clear and strong position also supported by the picture you were referring to, we think that the Dutch market is working very well. There’s a lot of investments. We are investing in fiber, but others are rolling out fiber as well. There’s a lot of service providers in the country offering broadband against different price schemes. And the competition is there. So all three points, regulators should look at work quite well in the Netherlands. And having said that, of course, we also understand that they will look to our pricing framework on the wholesale side on fiber and perhaps we have to lower a bit on the – especially high speed part of our propositions. But we feel confident that we can have good discussion with ACM whenever they’re ready for that.
Luigi Minerva: Thank you very much. If I may just briefly follow-up on the first question. Do you think that the – your competitor infrastructure, so the cable will be a push to expand their footprint with fiber in order to match your ambition as from Slide 8?
Joost Farwerck: Well that is a bit late in the process because we organized so much capacity to roll out fiber. We crossed 0.5 million this year. So we connected to 0.5 households. It’s a record in the Netherlands, looking at others that are rolling out fiber that’s more below a 100k or around 100k. So there’s not that much capacity left over in the Netherlands. On the other hand, cable is doing quite well with the upgrade to DOCSIS for the short-term. So looking at the Netherlands infrastructure, in the Netherlands it’s quite well. We’re number four on the index, number four in Europe. So I think it’s a bit late in process for cable to move to fiber. You never know. But of course, they’re also more than welcome to join us on our fiber network.
Luigi Minerva: Thank you so much.
Operator: Our following question is from Mr. Usman Ghazi of Berenberg. Go ahead, please. Your line is open.
Usman Ghazi: Hello everyone. Thank you for the opportunity. Just got two questions please. Firstly, on T-Mobile Netherlands just about a week or so ago significantly increased their broadband pricing first time in a while. I mean, how – I guess two aspects of that question. Firstly, do you the retail kind of a competitive environment shifting in your benefit as a result of that? And if not why? And then secondly, do you see any regulatory implications of the price increase? And if you can let us know what the log being locally has been in the press and stuff from them that would be helpful. My second question was on the service revenue growth you kind of indicated of 1.5% drop be in 2022 for mass market service revenues. And is that assuming any return of roaming revenues or is that – or would that be upside? Thank you.
Joost Farwerck: Yes. Thanks. On T-Mobile it wasn’t a surprise for us since three years ago they consolidated Tele2 and they came up with the voluntary remedy to keep the prices low and they promised no increases for the first three years. Now that period passed a couple of weeks ago and they now increase tariffs. So that’s not a real surprise. They only did a CPI correction until now. Of course, they blame it a bit on KPN, because of our expensive excess fees, but we also see price increases not related to that. And well I think that that’s up to them, how they communicate it. I would discuss these matters with KPN or ACM, not with my customers. But all in all the price increase after three years was expected. Chris, maybe you want the service revenues?
Chris Figee: Yes. On service revenues on roaming, Usman, we of course, in the last time we had a normal roaming year was 2019 and 2020 the EBITDA from roaming kind of half, I mean our roaming revenues dropped by 30%, our EBITDA from roaming half. This year, we saw a bit more. Today, we’re running about 60% of like pre-COVID normal roaming revenues. Our plan assumes that stable to slightly up, not material. So, if roaming were to normalize, that could be upside. But I can’t bank on it. I can’t plan it. Current roaming is about 60%, 70% of pre-COVID roaming earnings.
Usman Ghazi: Great. Thank you very much.
Operator: Our next question is from Mr. [indiscernible] of Citi. Go ahead, please. Your line is open.
Unidentified Analyst: Yes. Good morning and thank you for taking my questions. It’s just a couple of follow ups on your guidance specifically the target for 2023. And thank you for giving us into getting around roaming. I wanted to ask two follow-up questions on that. Firstly, around the ACM decision, whether your 2023 numbers have already made some assumptions or perhaps a slightly less favorable outcome than what you have now, or whether your base case continuation of the current rates? And then the second question is around cost, and I appreciated you’ve mentioned that you kind of said it with revenue options. But I guess not all companies can do that in this sector. So, I just wanted to get a bit of context as to where you are seeing inflation and you could give us an indication of the – on to the – of inflation you’re seeing? And specifically and I just wanted to clarify if in 2023, you still half year does in place or whether by then that wouldn’t be the case? Thank you.
Joost Farwerck: Look on the first question on ACM and 2023, we’ve – I refused to speculate on the outcome of what the ACM review could do. So our 2023 outlook is guided as on the same presumptions as before. That shows also a bit of confidence that we think there’s not a material issue. There’s nothing wrong in the market. I mean again, if you look at consumer retail prices as a report that was produced by Analysys Mason, we sponsored it, but it was an independent report that showed that retail pricing is in line with where Europe is. We see sufficient infrastructure competition on infrastructure such, and that the wholesale parties on our network actually still grow faster than KPN or Ziggo. So, we think that’s there’s not lot of issue in the markets. And if you look at the T-Mobile pricing announcement, it appears that especially on the passive lines, there is not an issue. If anything, it could be on the VULA on the PUN side of things, but on the passive lines, not at all. So at this point we’ve kept our assumption stable, need to adjust them. When it comes to inflation, look, this inflation shows up on a couple of points. We see wage inflation given what we have in terms of CLA agreements, it’s between 3.5% to 4% per staff member increasing salary costs, and some energy price inflation, but by luck or skill that remains be decided we’ve locked about 80% of our energy costs through forward. So only 20% is spot, 80% has been locked in. So that’s a – at this point, a manageable quantum of increase. And then we see some inflation in for example, CPE equipment and in CapEx. But on the cost side of things, I think it’s well contained and it’s certainly not more than we can price to our customers. So the EBITDA mix will be flat, because, I think, I said wage increases between 3.5% to and 4% and energy has been shielded from our long-term energy buying contracts. If anything, it will show up in CapEx not in fiber, because most of our fiber contacts are fixed price and locked-in for years. So it should be on the non-fiber part. And for example, in consumer premises equipment, but we see a number of opportunities to counter those and still stay within CapEx very close to or at the €1.2 billion.
Unidentified Analyst: If I could ask a follow-up on the energy comment you made this 80/20, I guess that’s the ratio for 2022. Is it possible to give, I mean is it more or less a rolling gauging strategies or 20% every year? So it takes four or five years before you see the full impact or?
Joost Farwerck: Yes, exactly. We pay about 60 million in energy expenses. The big chunk of it, almost half it is taxes and the rest is pure energy. And we have a policy of 80%-20% fixed buying 20% on the spot market. We are a little bit over exposed to this point in spot because we didn't want to lock in at current energy prices for long-term buying, but effectively our strategy is around 70%, 80% long-term buying. So as you say correctly, any energy increase – price increase will feed in gradually over time as really strive to have 70% to 80% bought into forward contracts.
Unidentified Analyst: Very clear. Thank you.
Operator: Our following question is from Mr. Ulrich Rathe of Jefferies. Go ahead, please. Your line is open.
Ulrich Rathe: Yeah, thank you. I was wondering just for the overall shape of the B2B revenue stabilization and inflection, whether you can give us any indication when the LCE service revenues separately might bottom out at all or if you don't want to do that, what the drivers for that would be separately? And the second question is where do you see the market set up settling down with, with T-Mobile, I mean, it's pretty clear how KPN position vis-à-vis of VodafoneZiggo, but what role do you think T-Mobile will play in the market? And I'm thinking about this going to be a mobile-centric play with sort of also run convergence offers just to the extent that they're needed to support the market share? How do you think there is a more strategic effort on their end to reposition, and then what implications has that for your market approach in the mass market? Thank you.
Joost Farwerck: Well, like you say of course Ziggo is the largest consumer service provider in the Netherlands with a market share of above 40% retail and T-Mobile is operating around 7.5%. So yes, they are growing but they also have a very small market share and it's all on our network. So we expect them to keep on doing what they're doing, but we also should keep an eye on the total market, I would say. So of course they have a very strong position in mobile. They consolidated other providers in the Netherlands and they have the largest base postpaid consumer mobile in the Netherlands. So that is where their strong position is, and that's where they really make their money. And yeah, what they will do on broadband. That is the question is out. I mean there's just a change of ownership in the company. So we will find out and of course follow that, but it's very important to also take a look at our position against Ziggo in broadband market. B2B, yes, we said, LCE will follow SME probably in a year, it's a bit too close, so we think it will happen in the second year that LCE will inflect the total of things will improve end of this year. But we're pre pretty confident because we follow exactly as we did in SME, the migrations of the base to the future lower price bands, but, but fair very future proof.
Chris Figee: Yeah, I would think that if you take the non-SME part of this business market, LCE integration together we still have hopes by Q4 for this year, you get to a bottoming out of that business. So 2023 will enable the entire B2B market to start to show stabilization in growth, but by Q4 we're very lucky at Q3, but more likely Q4. You can see real bottoming out of LCE and integration.
Ulrich Rathe: That's helpful. Thank you very much.
Operator: Our next question is from Mr. Polo Tang of UBS. Go ahead. Your line is open.
Polo Tang: Yeah. Hi, thanks for taking the questions. So I have two, the first one is really just coming back to cost savings. So I think you've made it very clear that net savings are taking longer to realize, but can you maybe just expand a bit more on why this is the case? So one side, is it because you're investing more in specific areas? And can you maybe just give a bit more color, I think you mentioned the Glaspoort joint, a venture that's – could you expand on that? Alternatively is the delay in terms of net savings because the gross savings are taking longer to realize? That's the first question. Second question is really about competitive dynamics. So can you maybe just talk a bit more about what you're seeing in terms of the broader market, appreciate, you've already talked a lot about T-Mobile Netherlands, but has there been a change of approach from Vodafone Ziggo, given that they've lost exclusivity on content like Formula 1 and HBO also, are you seeing any impacts from DELTA Fiber given that they're expanding their footprint? Thanks.
Joost Farwerck: Well before we move to the cost saving part, on the whole competition landscape in the Netherlands, we are improving our position, but to mention that I'm satisfied now no, because we're not even growing our fair share in the market. So it's not that we are super aggressive out there. We’re really balancing our actions out and we also see strong growth on our network from others. So it is true that probably Ziggo lost some customers, and we did grow a bit in the fourth quarter, but if you take into account what happened over the last years, I think that we are all trying to create value in the Netherlands. It is true that we improved ourselves on the content part. We’re very happy with the Viaplay deal we made and we see recently good inflow of new customers who want to watch Formula 1 races. We also improved the ESPN deal. We introduced gaming. So we’re not only fiber co, but we’re also adding value for our service providers from home. And I think there, we really improved our position in the Netherlands compared to the others. So I expect for you to come from that as well. So we all have to find our new position, but it’s a delicate balance. And I don’t see super aggressive behavior from outside at least. Costs discipline remains super important for KPN, and we will stick to our indirect cost saving target of 250. Maybe it takes a bit longer. That’s also because of new costs coming up like the cost related to the joint venture, inventory costs, reinvestment in top line growth. But although this is indirect costs, it’s also what we call healthy indirect cost because it’s all related directly to revenue growth. But for the cost part, I will now give the floor to Chris.
Chris Figee: Of course. Look Polo, on cost side, a few points of color. Of course, our FTEs continue to decline. So productivity goes up. We dropped about 4% of FTEs, about 700 FTEs last year. I think our labor capacity will still decline again this year, maybe not 700, but at least a triple, a three-digit number again, 400 FTEs to 500 FTEs possibly. Natural attrition is quite high. That means good side of things that we spend much less on restructuring charges. So we see structurally our labor cost base is declining. So where do we see some headwinds as it inflation then of course we spend we 80% [ph] but still inflation of our energy cost could go up between 5 million and 10 million if you add it all up. Energy price DELTA is looking at the non long-term forward part of energy. On Glaspoort if you remember, we rent lines from them. So we pay actually passive line, passive fees to Glaspoort for their lines. That is an OpEx chart that shows us up at our network business, that wasn’t there when we started the plan. But the Glaspoort lines that are in fiber. We rent for them, charging them ODF fees and revenues as Joost said, we’re investing in growth. There’s a bit of more investment in marketing communications, because we want to keep this growth momentum keep it up. We’ve got more customers, more customer activity, you will see somewhat more, call volume in your call centers, more service tickets. We’re trying to get customers to move to self service as much as we can. But for instance, when you grow your volumes, you will have a little bit more support costs. So it’s a bit of inflation. It shows up in energy, it’s a manageable amount, but still it is close for cross border where we actually rent, we pay ODF fees for passive lines and there’s costs that come with higher revenues, a little bit of higher marketing communication spend and somewhat higher support cost. Again, that does not affect EBITDA. So EBITDA target remains unchanged, because all these elements are affected into higher revenues, but it means that they come onto top of the savings that you expect if you were to just look at the FTEs.
Polo Tang: Clear, thank you.
Operator: Our next question is from Mr. Joshua Mills of BNP Paribas. Go ahead, please. Your line is open.
Joshua Mills: Hi guys. Thank you. A couple of questions for me related to CapEx and then the guidance. So if I start on Slide 25, you’ve moved the 2022 guidance towards keeping several at the top end of the 1.2 billion. I’d just love to know how you’re thinking about the 2023 CapEx guidance as well, which is also now the top end, is that because you are planning to accelerate the pace of the roll-out of fiber to the home. Are there other reasons why we’re maybe seeing a bit more expenditure there? And I guess if I take consensus at the moment, looking at the 2023 free cash flow consensus already quite a bit ahead of the 870 million, I know that’s a minimum target. So are we eating into the kind of upside opportunity on free cash flow for 2023 this higher CapEx number? And then the second kind of follow-up question would be, again, going back to that fiber slide, you’re talking lower fiber CapEx after 2026. If I look at consensus by that point, although there’s if you have fewer numbers, I suppose people are thinking that could be a number below 1.1 billion, given the message you’ve just laid out around continuing the pace of five roll out, the good commercial traction you’ve seen. Would it be more realistic to think about 1.2 billion is a stable CapEx level going forward even beyond 2023? Thanks very much.
Chris Figee: Should I take them? Joshua on CapEx on Slide 25, you can see fiber CapEx next year moving to 450. I think next year KPN will get to over 500,000 home spots roll out. I think by the way Glaspoort will get to even also big number. So the KPN plus Glaspoort together, if you wanted to add them up, you probably get to about 650,000 fiber to the home connections rolled up. So fiber will move to 450 that will be our cruising speed for the years thereafter. I think you see some little bit more consumer CapEx, which I think is good CapEx. That’s a function of new sales, consumer premises equipment. We’ll continue to see some downward slide in like the other CapEx mostly nonmobile CapEx. We see some savings in our network CapEx this year, 2022, whereas a significant spending program on the ERP solution for corporate functions they'll be done after 2022 and close to normal 2023, which I think means that it's fair to assume also add a bit of inflation it makes we're humming around 1.2 billion for the next two years. Beyond that allow us to give you further guidance when we get there, but it's fair to assume we stayed at level driven by especially on fiber and consumer CapEx cruising at a higher speed and fiber to 450 as we depicted here. We feel strong on our free cash flow this year, more cash momentum is good. We outperformed our cash guidance if you wish in 2021, they goes on 2022 at 825, or at least 825. We feel we're doing good cash. The implied step up in 2023 will come from a couple of things; there will be another lag down or interest rate payments in 2023, it's almost inevitable given our book and give our rates are. We see by that time working capital is really no longer a drag. It was already a positive in this year. In 2022, working capital could be flat to a small negative, depends a bit on our strategic stocking, whether it's required or not, but we don't see it continue in 2023. And we continue to see low or lower restructuring charges as we find other ways to increase our labor capacity. So even at 1.2 billion on CapEx, we still feel confident on the cash guidance that we have, and the cash momentum is strong at our group. As I said, rates – interest expenditures will come down, working capital will really not be a – I don't think it'll be a drag in 2023. It could be a small support in 2023 restriction charges will be lower as well. So it all fits together into continued go cash momentum and maintain our free cash flow targets for 2002 and 2023.
Joshua Mills: Okay. So just to be very clear, the difference between the guidance last quarter and it was the 1.1 billion to 1.2 billion and 1.2 billion now. it sounds like it's mainly coming from other CapEx, which is slightly higher for a number of reasons, but you believe that can be offset in your entry free cash guidance by low interest and working capital costs?
Joost Farwerck: Well, if it's fibers going up. Fiber is up right to 450, its consumer CapEx which is going up notably and all the other changes we're managing it will not impact our free cash flow – not impact of cash guidance. We find ways to – to counter death.
Joshua Mills: Got it. Thank you.
Operator: Our next question is from Mr. Steve Malcolm, Redburn. Go ahead, please.
Steve Malcolm: Yes. Good afternoon guys. Thanks for taking the questions. Just a couple on the revenues, I mean, we've been through the cost inflation in some detail. I mean, you're clearly telling us that whatever rising costs you expect to see is, is almost equally matched by rising revenues which become ahead of where you thought or coming in ahead of where you thought you'd be. Could you share some color on, on what the sources of that extra revenue growth is? Is it just prices? It just the fact that CPR is going to be higher, so when customers get their new bills in June, July that CPI number will be higher, but any color on those revenues will be great? And then just on the timing of the price rise, can you just tell us when, at what point you strike CPI for the June price rises and the positions of your competitors with regards to CPI. Whether they're likely to follow suits actually written into their contracts? I mean, I think we can guess that Vodafone almost certainly will. And I guess [indiscernible] new ownership and being 5 times lever my wealth. But is CPI actually a part of their pricing be good, good to know on that front? Thank you.
Joost Farwerck: Okay, Steve, I'll start and hand over to Chris on revenues is not only CPI correction that supporting service revenue growth, it's a mix of migrating customers to fiber, where we immediately see higher revenues on the fiber base. So that's an important one. Also by introducing better packages on content for our customers, we expect more from that. Migrating our customer to the higher speed is very important. Mind you a year ago, it was below 10% that out 1-gig on fiber. In fiber areas we currently see inflows of around 20% on 1-gig. So that's improvement and that of course is against a higher price. On mobile we are improving. We're working on the base, but we're also working on the ARPU because of unlimited, which is against a higher ARPU and then the average. So that whole unlimited market is now really ours and we see a healthy inflow there. So we really work on the mix of things to base the ARPUs the ARPA to improve service revenues and somewhere mid-year. We always take the decision to yes, increase prices related to CPI – CLA increases, purchase power in the Netherlands, it's a bit of a call we make beginning of Q2.
Chris Figee: Yes. Yes. Steve, when you look at our cost base, of course we're affected by inflation, but not every euro of cost will be affected by the headline CPI number. As I said wage increase will be around 3.5% to 4%, which actually is a bit less than CPI. Energy is locked in only a chunk of that will be affected by energy price increases, the rest will not, will only graduate feed in overtime and possibly be a bit less as energy prices normalize. And we've got other cost source that are basically fixed in so, you can't multiply our cost based by 5%. It's more nuanced than that. So there'll be some chunks that we get infected by higher pricing, other areas where it's not whether the different price increase. And we look at our prices, chart to customers. Some of them are linked to CPI. Some of them are not, and related to CPI, although it's not a one-on-one link. So during the year midyear, we can and will decide what we do. It doesn't mean we necessarily push through all the CPI increases automatically our customers. We'll make a balanced trade of also looking at what's actually happening to our cost base, what's happening to purchasing power with our customer? Where is the competitive environment? So we may or may not, follow the full inflationary impact. We may do a bit less if it's not needed but it also because not all of our costs, one on one, interact or move with inflation.
Steve Malcolm: That's great. Can I ask one quick, but the sort of follow up just on the comments you made on wholesale pricing and the ACM consultation, can you give us a flavor of the current mix of products in terms of speed take up and cost differential between your lowest speed and your highest speed products, and maybe how we should think about that differential changing? It sounds to me like ACM is going to push for lower prices on the one gig and above products, any kind of color you could provide. And that be, would be very interesting. Thank you.
Chris Figee: Well, I think for a pricing you could refer to our website, our pricing are kind of public, so you can look at those prices. I think the discussion is mostly, not mostly on the PUN areas, I think unless, on the passive areas, at least if I read the press and have a look at what our competitor are, putting into the news. So I think the discussion was centered around the PUN areas and possibly higher speed pricing.
Joost Farwerck: Yes. So it is more about the new fiber areas we're building than the older ones. We move to from point-to-point to a new architecture PUN, which is more or less worldwide industry thing. So that's what happens all over the world, all telcos we're moving to PUN. And for that reason, we can only sell virtual local access instead of real passive access like we see in the old areas. Meanwhile it's also important that customers migrate to higher speeds and therefore the discussion on the wholesale pricing will take place around what we ask for higher speeds. So the whole debate is more about future fiber than the fiber we built until today.
Steve Malcolm: Okay. Thank you.
Operator: Our next question is from Mr. Keval Khiroya of Deutsche Bank. Go ahead please.
Keval Khiroya: Thank you. I've two questions, please. Firstly, you talked about the strategy of unlimited ups in the mobile, but do you think the mobile market, as well as obviously fits can sustain price increases given the unlimited mobile price points are lower than where they were two years ago. So could we see price increases in mobile as well? And then secondly, the copper switch-off should be material by next year. So can you share more on how we should think about the related OpEx savings and the phasing of those as well? Thank you.
Joost Farwerck: Yes, so all these incumbents are talking about copper switch-off. Last year we piloted that in a couple of areas and succeeded quite well there. So we really switched off a couple of number exchanges to pilot for 2023, and we announced it a couple of years ago following ACM guidance on that. So we really will start to clean up the copper network in a lot of areas as from beginning of next year. We're a bit prudent on predicting, how much OpEx and CapEx we can save there because the first year it will be less than a couple of years on the road, but still we do a lot on copper when it comes to services, service tickets, additional CapEx on new houses, et cetera. So it's about tens of millions. We can save by moving the copper base for a 100% to fiber because fiber is far more efficient, not only to deliver, but also to maintain it's far more sustainable and future proof as an infrastructure. So we really expect a lot from that. On unlimited, of course we hesitated long. But I think we waited too long to be honest by introducing unlimited, it's priced in such a way that we give it discounts to customers in a full package. So but it's still above €25. And I think it is important to keep it there, so when we will increase mobile tariffs. That's what we more or less do on an annual base as well. But that depends a bit what's happening in the markets, but I think the good news is that we move to unlimited. We're now moving in fiber to a gig. So the Netherlands is really about high speed access but also against a higher price. And I also think the whole market understands that because we need to create value and we do a lot of investments there. So I would say that we do pretty okay. And probably we can increase there, but let's see.
Chris Figee: Well, I think the good news is that, of course, is that on mobile, the unlimited inflow is now about 30% of new customers for some time. And we see unlimited equivalent, which is the one gig speed in fiber is also significantly going up. And fiber only is going toward 30% of unlimited inflow. So that's the original source of the potential ARPU uplift from clients moving to higher speeds. What does it mean for pricing? Well, let's see. I mean, we'll have to set a CPI component in our mobile contracts. And during year we'll see what we do. We will make sure there's a balanced price response, not necessarily pushing all the CPI increase into our prices, but looking into our cost base as well. But there is some pricing headroom there and we'll see throughout the year how we actually materialize that. To me, the good news is that a bigger chunk of our customers, both in mobile and fixed are moving towards the upper end of bandwidth and paying for that.
Keval Khiroya: That’s clear. Thank you.
Reinout van Ierschot: Okay, thank you very much. That concludes the webcast for today. If there is any further questions please contact the Investor Relations Department. Thank you very much.